Operator: Greetings, and welcome to CoreSite Realty Corporation Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Kate Ruppe, Investor Relations for CoreSite Realty Corporation. Thank you. You may begin.
Kate Ruppe: Thank you. Good morning, and welcome to CoreSite's third quarter 2021 earnings conference call. I'm joined today by Paul Szurek, President and CEO; Steve Smith, Chief Revenue Officer; and Jeff Finnin, Chief Financial Officer. Before we begin, I would like to remind everyone that our remarks on today's call may include forward-looking statements as defined by federal securities laws, including statements addressing projections, plans or future expectations. These statements are subject to a number of risks and uncertainties that could cause actual results or facts to differ materially from such statements for a variety of reasons. We assume no obligation to update these forward-looking statements and can give no assurance that the expectations will be obtained. Detailed information about these risks is included in our filings with the SEC. Also on this conference call, we refer to certain non-GAAP financial measures, such as funds from operations. Reconciliations of these non-GAAP financial measures are available in the supplemental information that is part of our full earnings release, which can be found on the Investor Relations pages of our Web site at coresite.com. With that, I'll turn the call over to Paul.
Paul Szurek: Good morning, and thank you for joining our earnings call. I will cover our third quarter and year-to-date highlights, and Steve and Jeff will discuss sales and financial matters in more detail. We delivered another strong quarter financial results including operating revenues of $164 million, resulting in 6.4% year-over-year growth, adjusted EBITDA of $86 million, resulting in growth of 5.2% year-over-year, and FFO per share of $1.39 or 4.5% year-over-year growth. We also reported strong operating performance, including cash rent mark-to-market year-to-date of 2.9%, churn year-to-date of 4.6%, in line with our expectations, and 5.0% year-over-year MRR per cabinet equivalent growth, driven by strong power and interconnection revenue growth. Today, we will discuss leasing results of $8.9 million comprised of third quarter leasing of $7.2 million in annualized GAAP rent, and a $1.7 million scale lease at SV7 signed on October 7. Demand continues to be positive for deployments and agile interconnection in our network and cloud-enabled data center campuses in major metropolitan edge markets. And we believe supply and demand are generally in balance. As Steve will mention, sales cycles are a bit longer due to other distractions for certain scale customers. But our sales funnel continues to be at a high level relative to our history. Turning to our property development, we executed pre leases for some of LA3 Phase 2 during the third quarter, and we completed construction of Phase 2 in October. The LA3 Phase 1 is now 93% leased, less than 12-months after placing the project into service, reflecting the strength of our position in the Los Angeles market, and continued solid sales activity. NY2 Phase 4A, a 4 megawatt computer room also remains on track for a Q1, 2022 delivery. And we continue to make good progress on the remaining pre-construction activities to bring SV9 to a shovel ready state. Completing demolition of the existing building and working with Silicon Valley Power to finalize power procurement by the end of the year. We are fortunate to have very strong customer ecosystems on our uniquely positioned network and cloud-enabled campuses, which drive diverse demand with good margins and attractive returns, reflecting the value customers can achieve in our environment. Our very capable team continues to add to our campuses, important customers with potential for future growth. And our purpose built power efficient and scalable data center campuses, differentiated by our flexible and diverse interconnection platform provide ideal environments for secure, high performance, multi and hybrid cloud solutions, that enterprises require in order to be cost effective, agile and forward thinking in their deployment of digital solutions. In summary, we are pleased with the progress made during the quarter, and see more opportunity ahead to participate in the ongoing migration to a hybrid cloud world with extensive interoperability among customers. With that, I will turn the call over to Steve.
Steve Smith: Thanks, Paul, and hello, everyone. I'll review our sales results, and then talk about some notable wins. To begin, we had new and expansion sales of $8.9 million of annualized GAAP rent, comprised of $7.2 million signed during the third quarter, and a $1.7 million large scale lease at SV7 signed on October 7. We believe including the $1.7 million lease signed in early October for purposes of our discussion today is instructive, given the size and as this customer lease is backfilling a portion of the churn at SV7, which we have previously disclosed. The leasing metrics discussed in the rest of my prepared remarks are inclusive of the $1.7 million lease signed on October 7. Keep in mind, our reported new and expansion sales results only include the rental revenue component of the new leases. The $8.9 million of GAAP rent for new and expansion sales reflected 62,000 net rentable square feet at an average annualized GAAP rent of $143 per net rentable square foot, which was lower than the trailing 12-month average, due to lower than average densities for certain scale deployments. Our results also included 28 new logos or $1.9 million annualized GAAP rent. Our best quarter for new logos in terms of annualized GAAP rent since the third quarter of 2019. I will review a few specific new logo use cases in a moment. The $8.9 million of GAAP rent also includes a number of leases that signed SV7, which represents approximately $2.9 million of annualized GAAP rent. Turning to pricing, new and expansion pricing on a kilowatt basis this quarter was above the trailing 12-month average by mid-single digits, reflecting the mix of both size and location of leases signed. From a geographic perspective, our strongest markets for signed leases were Los Angeles, Silicon Valley, and Northern Virginia, which combined represented 88% of our annualized GAAP rent signed. Looking at organic growth, existing customers continue to provide strong demand, which is an essential part of our strategy. Existing customer expansions accounted for 78% of annualized GAAP rent signed, as more businesses adopt digital solutions to meet today's evolving marketplace. Noteworthy expansions from existing customers included a scale deployment from a global online gaming platform, expanding their footprint into our Los Angeles campus, a multi-market expansion by a network service provider in Los Angeles, New York and Northern Virginia, and a large scale deployment from a subscription-based digital content streaming company in the Bay Area. Turning to a new customer wins, the $1.9 million of annualized GAAP rent represents approximately 22% of our sales. As I mentioned, it was our best quarter for new logo sales since the third quarter of 2019. Successfully attracting high-quality new customers that value the interoperability of our portfolio ecosystem, deepens CoreSite’s competitive moat, and helps drive future growth. Enterprises contributed to 55% of new logo annualized GAAP rent signed during the quarter, which included a leading data management and storage systems company in the Bay Area, and email and social networking and marketing firm in Northern Virginia, a cybersecurity company providing prevention and detection solutions signing the scale deployment in the Bay Area, and a well-known domain registrar and web hosting company joining our robust Los Angeles customer community. Lastly, total data center occupancy decreased slightly this quarter, primarily due to the previously forecasted single tenant lease expiration at SV7, which was also included in our third quarter churn. But the majority of this customer’s lease expiration now behind us, we have a clear path towards our targeted occupancy goal in the high 80s range. As we finish out the year, we are encouraged by our solid execution of our core business. However, we have noticed slower processing and response times for certain customers seemingly distracted by other issues, such as supply chains and staffing, which we're all aware. We have specifically revised practices to improve the process and timing of existing certain scale customers and keeping leasing on track, as demand for high performance edge use cases in strategic metropolitan markets continues to grow. Our diligence and discipline in attracting and winning deployments that value or add value to our ecosystem remains the primary focus. We are driven to provide continued profitable growth by attracting high-quality new logos, and delivering incremental value to our customers and shareholders through higher value lease up across our portfolio. With that, I will turn the call over to Jeff.
Jeff Finnin: Thanks, Steve. Today, I will review our third quarter and year-to-date results, discuss our balance sheet, liquidity and leverage and then touch on our 2021 capital expenditures guidance. Looking at our financial results for the quarter, operating revenues were $163.9 million, an increase of 6.4% year-over-year. Lease renewals of $18.7 million of annualized GAAP rent were completed during the quarter, resulting in cash rent mark-to-market of 2% and GAAP mark-to-market of 5.7%. We also reported churn of 2.5% for the quarter, which was in line with our expectations and includes 160 basis points of churn related to the single tenant lease at SV7. Commencement of new and expansion leases of $7.1 million of annualized GAAP rent, our revenue backlog consists of $9.9 million of annualized GAAP rent, or $17.2 million on a cash basis for leases signed, but not yet commenced, inclusive of the $1.7 million scale lease signed at SV7 on October 7. We expect approximately 60% of the GAAP backlog to commence in the fourth quarter of 2021, and substantially all of the remaining GAAP backlog to commence during the first quarter of 2022. Adjusted EBITDA was at $85.7 million for the quarter, an increase of 5.2% year-over-year. Net income was $0.50 per diluted share for the quarter, consistent year-over-year. And third quarter FFO per share was $1.39, an increase of $0.06 or 4.5% year-over-year. Turning to our financial results here year-to-date, total operating revenues were $483.6 million, reflecting year-over-year growth of 7%. Adjusted EBITDA of $259.1 million, increasing 7.2% year-over-year, and representing an adjusted EBITDA margin of 53.6%. And FFO per share as adjusted of $4.20 increased 5.8% year-over-year. Each of the above items are in line with our goal to achieve mid to high single digit growth levels. Moving to our balance sheet, our debt to annualized adjusted EBITDA increased to 5.2 times as of September 30, as expected. Inclusive of the current GAAP backlog mentioned earlier, our leverage ratio was 5.1 times. We ended the quarter with approximately $235.4 million of liquidity, providing us the ability to fully fund the remainder of our 2021 business plan. Looking at our 2021 capital expenditures guidance, we have spent about $103 million year-to-date, compared to the midpoint of our guidance at $205 million in total capital expenditures for 2021. We are continuing to work through the remaining pre-construction activities at SV9, and we anticipate breaking ground sometime in 2022. But timing is ultimately dependent on overall absorption in the Bay Area. As a result, we now expect to invest approximately $140 million to $150 million in total capital expenditures in 2021, which is reflected in our updated capital expenditure guidance. Refer to Page 21, of our supplemental for our full 2021 guidance. As it relates to 2022, we will provide detailed annual guidance during our fourth quarter earnings call in early February. In closing, with the majority of the SV7, single tenant lease expiration now behind us, we have more visibility into increasing our occupancies which will achieve even greater flow through of revenue growth to margins, leading to margin expansion and value creation for shareholders. With that operator, we would now like to open the call for questions.
Operator: Thank you. At this time we'll be conducting a question-and-answer session.  Our first question comes from the line of Jon Atkin with RBC Capital Markets. Please proceed with your questions.
Jon Atkin: Thank you. So I had a couple of questions, the pricing on new leases signed looks like it was a multi-year row. And that doesn't include, obviously the impact of what you did in October, which was a restarting a second generation space. So given that dynamic around the backfill of SV7, and then what you posted on pricing during the 3Q, anything to kind of expect going forward around pricing?
Steve Smith: Hey, Jon, it’s Steve. Yeah, I think overall, as far as pricing is concerned, on a square footage basis it was down a bit this quarter, primarily just due to lower than average densities. So we have fluctuations in density based on the sales mix every quarter. But collectively, pricing remained strong, and I think you see that, if you look at it on a per kilowatt basis that reflects that.
Jon Atkin: Would that include second generation space as well? Or, could that drag down some of the recent trends that you've seen on a per kW basis?
Steve Smith: I think that holds true overall.
Paul Szurek: Jon, sorry, I would just point you back to Steve's comments in his prepared remarks about power pricing being actually higher on a per kilowatt basis -- pricing on a per kilowatt basis being higher than prior quarters.
Jon Atkin: Got it. And then, wondered if there was any trends that you're seeing in the federal vertical, whether it's government agencies or excise doing work for federal agencies, and if you've had some success with that past, anything around general demands that you are seeing which actually benefit from?
Steve Smith: Yeah, we are seeing more pipeline growth there, which is encouraging to see, and we have had some success there in the past. I would like to see more and I think there's a good opportunity to improve our results there. So it's good to see the pipeline improve there. We think there's a good opportunity.
Jon Atkin: And then lastly, on the new logo generation, what have you seen around cross-connects take up rates within your new logos and several use cases that you mentioned?
Steve Smith: Sure. Well, as I mentioned, this is one of our best quarters as far as overall revenue is concerned. And that's a big focus of my team, and our marketing, messaging and so forth is to ensure that enterprises and new logos see the value in CoreSite and the uniqueness it brings to helping them navigate the hybrid multi cloud environment that's out there. We feel like we got a very unique value proposition and the amount of networks and native onramps to those cloud providers that very, very few other providers have. And our messaging and our sales objectives are really to ensure that we attract and win more new logos as they become the basis for the overall growth of the company, which you saw in our typical results.
Jon Atkin: And then lastly, I wondered if you could give us a view on M&A and to what extent you feel like it might make sense at some point to become part of a larger platform, whether that's you acquiring somebody or the other way around?
Paul Szurek: You know, as we've said many, many times in the past, we have looked at many acquisitions, and they have to fit from -- there are potential acquisitions, they have to fit from the standpoint of strategy, pricing, value creation, and our particular model. And we don't expect any change in that kind of surveillance. As to the rest of your question, as we've also said frequently, our policy is not to comment on any sort of speculation around that type of activity.
Jon Atkin: Thank you very much.
Operator: Thank you. Our next question comes from the line of Frank Louthan with Raymond James. Please proceed with your question.
Frank Louthan: Great. Thank you. Are you seeing any impact from inflation on any current leasing negotiations? How do you think that will work? And then, can you give us a little bit more detail on some of the contractual obligations you've got with some of your facilities, from the suppliers or the length of those terms? And how well protected you're on that? Thanks.
Steve Smith: I think from a leasing perspective, I can give you that side of it, Frank. It's definitely interesting world out there for sure, I don't think it's necessarily impacted the leasing dynamic per se, but it does increase the importance of working closely with our vendors and how we coordinate not just the colocation aspect, but there's a lot of different moving parts to get customers deployed, whether it's servers, cage material, and whatever it might be to actually deploy that. So we've implemented additional measures with all of our teams to ensure that we're ahead of that. We're planning for any changes in pricing or supply chain and that kind of thing, and navigating that as closely as possible.
Paul Szurek: Frank, maybe I can just give you some additional color on some of those additional obligations. I would look at it from really two perspectives, one being the development side, which we've substantially locked in all the development we're doing today, just given when we started those projects. So we don't see any inflationary pressures on what we've got under development today, most of that was ordered well before we started development there. But on the operating perspective, we do look at and go out to contractually lock in some of those operating costs, usually out in periods of two to three years. And we generally roll those depending upon the type of service. Some of those are up and we're in the midst of bidding for some of that tier over the next couple of years. And then some have a couple of years before they roll off. My hat's off to our vendors, they've stayed with their contractual obligations on those obligations, even though we know they're getting some pressures. And we'll just have to monitor and see how this next round of contractual obligations go with what we've got out in the market today. We'll know those results probably over the next two to four months.
Frank Louthan: Alright, great. Thank you. And maybe I missed this. But did you guys discuss what's your exposures on power and what power costs, and whether you're hedged on that?
Jeff Finnin: Frank, no, we didn't touch on it yet. Just to give you some idea, when you look at our power utilization across our portfolio, we have about 30% of our power use that occurs inside our deregulated markets. I point you to that, because that's the area that near-term where we probably see the most impact. When you look at and factor in ultimately, what's in those deregulated markets, how much of that is really subject to cost increases, it's really our breakered power model, which certain mostly our retail customers pay us a fixed price, and that's probably where we've got the most exposure. When you go through the amounts there, we've got about -- if you assume about a 10% increase in power cost in those markets, it would have an impact of about $0.02 per share, assuming you don't pass any of those costs on to our customers. We do look at that on an annual basis and assess how much of that we're going to pass on to our customers. We do have that right inside our contractual rights and licenses with our customers.
Frank Louthan: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Sami Badri with Credit Suisse. Please proceed with your question.
Sami Badri: Hi, thank you very much for the question. Around this time of every year, Jeff and Paul, you have historically given us some kind of color on what the CapEx trajectory looks like in the following year. Could you give us an idea on what that looks like just because your CapEx guidance is moving around now? And I have a follow-up.
Jeff Finnin: Yeah, you bet. Sami, I think you probably saw the notes and heard the commentary on the prepared remarks around the timing around SV9 and its impact on our 2021 CapEx. As you think about 2022, we will obviously give detailed guidance in early February. Here's how I would think about it. When you look at us over the past few years, we historically have had somewhere around $200 million of CapEx, in those years, when we're building out inside existing corn shell. So without including any type of ground up development. And so I would think about 2022 in the range of $200 million, and then it could be elevated when and if we start development that ground up development at SV9. And as we said in our prepared remarks that's going to be dependent on overall market absorption and as Paul alluded to finalizing our agreements with Silicon Valley Power. But that's why I think about it $200 million and then probably elevated from there, as and when we start development on SV9.
Sami Badri: Got it. Thank you. Now I do have a follow-up, it just slipped my mind completely. So you can hand it over to the next analyst. Thank you.
Jeff Finnin: Yeah. No problem, Sami. Get back in the queue, when you can.
Operator: Thank you. Our next question comes from the line of Erik Rasmussen with Stifel. Please proceed with your question.
Erik Rasmussen: Yeah, thank you for taking the questions. Just circling back on the comment you made about customers slower response times and response to the supply chain. So just trying to -- is this just for scale or is it just enterprise, or is this all customers that you're talking about? Is this sort of the main reason why we haven't seen much scale business beyond sort of this early Q4 deal that you've looked at SV7?
Steve Smith: Yeah, I would say, it becomes more magnified with the size of the deal, just because the amount of the moving parts that are going on there, right. So it definitely becomes more complicated. But I would say, overall, as far as the scale pipeline is concerned and our overall pipeline, we have confidence in where it sits today and the opportunities that it presents for us going forward. Some of these larger deals do take more time, and have more components, as I mentioned. And if you think about the deal that we announced in this earnings call, that had a lot of moving parts to it, that we had to work very closely with the customer in order to get it across the line. But I think, the important factor to stay focused on is our main goal, which is maintaining and achieving mid to high single digit FFO growth, which is not just driven from top-line revenue, but more by pricing, interconnection and power margins that we remain focused on. So that's the main thing I think to stay focused around.
Erik Rasmussen: Great. Maybe just to follow up on that. And this speaks to sort of the lack of scale deals we've seen, but you had the 40 million leasing guideposts for the year. I think year-to-date you're around 24 million. Based on where we sit today, how realistic is it as you sort of looked to close the gap on this, or timing of this in these large scale deals is so lumpy, that maybe it's just the things sort of slide into the next year, and maybe there's a better set approve in next year?
Steve Smith: Well, we're absolutely striving to hit it. And as I mentioned, we're opportunistically encouraged by our funnel, and think that has an opportunity to get us there. At the same time, those are large deals that swing that number pretty significantly. I mean, if you look at our core business, we performed very well in that regard, which does drive the majority of our FFO growth. So, as I mentioned, in my prepared remarks, we're trying to remain disciplined and diligent around how we ensure we're driving returns for our shareholders, at the same time, not sacrificing top-line growth to do that. So, it's a balance, and we've got good opportunity to achieve both, and we strive to do that.
Erik Rasmussen: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Richard Choe with JP Morgan. Please proceed with your question.
Richard Choe: I just wanted to follow-up on the new logos in the signings. You said they're lower density. But will that change over time as those customers mature? And can you remind us what the kind of normal process you see with signing new customers and how they take more space and power over time?
Steve Smith: I think, as far as new logos are concerned, I don't think we're saying that the new logos in themselves were lower density. I think overall, the bookings were of lower density. I'm not sure if we have the exact numbers on the density of the new logos at this point where we can get to that. But overall, I would say, collectively, densities continue to increase slightly, as customers become more efficient, and hardware becomes more efficient. So I think collectively, you just got to look at the trend line. One of the benefits of how we're structured in engineering, our data centers is to really manage that overall collective density across the portfolio. So you'll have some deployments that are lower dense, some that are higher dense, but our design allows us to accommodate that to ultimately meet the desired impact.
Jeff Finnin: Richard, the only thing I'd add on the second part of your question, typically when customers deploy and their subsequent growth inside our portfolio, I would tell you that for our retail customers, once they deploy, they will probably get to a stabilized power draw and cross-connect utilization column within 12-months, assuming they don't take additional space and power from us. On the scale of customers, it takes them a little bit longer, I would point you probably somewhere between 12 to 24-months, as they ramp up and deploy their gear. And so, much of what you see from some of those scale customers over that period of time is increases in the power consumption and utilization. And then they're continuing to connect on the interconnection side to those parties that they need to exchange into business will, again, for the larger ones takes about a 12 to 24-month time period, before we see them start to stabilize.
Richard Choe: Great. And the same store MRR per cabinet increased 5% year-over-year, and that's accelerating. Can you give us a sense of what's going on there and can it continue to grow at this rate?
Jeff Finnin: Yeah Richard, I mean, that is a reflection on very consistent with what I was stating on customers getting deployed. And what you're really seeing drive, I think Paul commented on that is really increases in our power revenue, and increases in interconnection revenue. Those are really the two components driving that, at least in the third quarter. At 5% on average, we generally see that MRR per cabi grow somewhere in the low to mid-single digit growth rates. And I think that that's where in large part we expect to be on a go forward basis. And it'll just depend on how quickly we see that based on customer installs, and overall utilization of their space and deployments.
Richard Choe: Great. Thank you.
Operator: Thank you. Our next question comes from the line of David Guarino with Green Street Advisors. Please proceed with your question.
David Guarino: Maybe for Paul, a number of your public and private peers have seen really good success outside the U.S. So I wonder if you could just remind us of the reasons why CoreSite wouldn't want to bring with a pretty strong reputation and strong knowledge base outside of the U.S.?
Paul Szurek: Well, I wouldn't roll it out forever. But we've had plenty of good things to focus on here, and quite honestly, just building a better model and stronger campus ecosystems, and perfecting the playbook that we can take elsewhere. I think a lot of what you've seen, I don't have a detailed view into it as you probably do, but much of that has been hyperscale. And as you know, that's just not our bread and butter. But we do believe that down the road, maybe there's an opportunity to expand to additional markets, domestically or maybe abroad with the mousetrap that we're building, especially the improved connectivity products that we've been implementing over the last two years, to make interconnection more scalable, more flexible, more dynamic, more diverse, and more automated for customers, and therefore avoid the need for them to have extensive network engineering expertise within their own systems, within their own companies. And pairing that up with these very dense customer ecosystems that are dense with cloud onramps, networks and diverse enterprises. So it's a good playbook. It's a good program. And, we've gotten a lot better at it over the last few years.
David Guarino: Okay. It's good to hear that something's open minded to looking outside the U.S. And maybe just one unrelated follow-up, I wanted to ask about the stabilized yield targets. You guys are still holding to that 12% to 16%, even with the lower asking rents per square foot this quarter. So, are these still realistic return hurdles? Or, do you think there might be some downside risk to the midpoint in the near future?
Paul Szurek: So, let me take a stab at that, and then Jeff can jump in if he needs to. But, it's important not to focus on a single variable like price per square foot, because as Steve explained, that will move around quarter to quarter based upon the density and locations of our sales mix each quarter. On a per kilowatt basis, we're still seeing the same and even slightly stronger pricing. And meanwhile, we continue to see good margin increments from these deployments and use cases that drive additional margin from power, from interconnection, and even from a lesser amount of other services. So, between all of that, we haven't felt the need to change our guidance on what our return on invested capital will be. And I know some of your peers track that and they see how we continue to do relative to the rest of the industry. But I want you to remember that ROIC achievement is a derivative of the main focus, which is providing value to customers. The best way to provide value to customers is to create these campus ecosystems in the right markets, where companies need to interoperate, and where the most important data use cases for the future are likely to take place. And that makes them more magnetic, more sticky, and more sustainable in terms of growth, relative to other ways to deploy capital.
Jeff Finnin: David, the only thing I'd add to what Paul said is, I’d just point to our most recent experience with our most recent stabilized investment, which is SV8. At some point during earlier this year, that asset hit stabilization, which, as you know, we define an excess of 93% occupancy. The returns we saw at that point in time were just shy of that minimum, so somewhere in that mid-11 percentile. And also, as I was explaining earlier, it's still going to take another period of several quarters here before some of those customers stabilize their ultimate architecture, and therefore, deployments where they'll draw some additional power and cross-connects. We anticipate getting above that threshold on that asset here in the near future. But that gives us the most recent data set. So I think it's still hitting our underwriting. And we have two others that we've invested in, obviously, LA3, which is in currently sup, and then probably the most recent one before that is VA3. And we'll see how we do on those two, but we're optimistic with those thresholds. Time will tell whether or not that needs to be modified down the road, but based on the recent history, we're still comfortable with those thresholds.
David Guarino: Thanks for the color, Jeff. That's really helpful. I mean, given you guys don't have property level disclosure anymore, it's harder from our seats to figure that out. But to the extent you can provide some anecdotes like that, that's really helpful.
Jeff Finnin: Always happy to help, David.
Operator: Thank you. Our next question comes from the line of Jordan Sadler with KeyBanc Capital Markets. Please proceed with your question.
Jordan Sadler: Thanks. I wanted to come back to the CapEx reduction for this year. I think what you said was that, essentially due to the slower leasing pay, presumably at SV7, essentially you're slow walking the development of SV9. So just a function market conditions there and short execution there. Is that summarizing that correctly?
Paul Szurek: No, Jordan. The development schedule on SV9 -- and I'm glad you asked a question because I do want to clarify that is driven more by the timing of permitting, and especially now, the last important pole in the tent is securing power from Silicon Valley Power, which we expect to achieve by the end of this year. We've done a significant amount of pre-construction work already, including demolition of the existing building, all the off-site work for connectivity and utilities, all of the design and everything. And we have some decision points that we have going forward as to other things we can do to shorten the pot once we aggressively go vertical. But now, we don't need the capacity immediately. But we've got about 7, 8 megawatts available in Silicon Valley. And we've been absorbing about 5 to 6 megawatts per year. So, that probably gives you some indication of what our decision trees look like. But we're not going to do anything obviously of significant magnitude, until we finish the power procurement process.
Jordan Sadler: And what's the timeline to finish that, Paul?
Paul Szurek: The power procurement process?
Jordan Sadler: Yeah.
Paul Szurek: I think I said earlier, I apologize if I wasn't clear. We expect that to be done by the end of this year. And understand, it's a process where you have to get agreement with the power company, which we have in principle, and then it has to go to City Council for approval. And then we can execute contract for it.
Jordan Sadler: And so, all that is planned -- or construction next year or essentially, you would rather wait until some of the 7 to 8 megawatts are more fully leased? How much do you want to have in place?
Paul Szurek: I mean, honestly, it really depends on what the funnel looks like, what pre-construction leasing negotiations look like. I can't give you a definitive formula right now. That's based solely on absorption.
Jordan Sadler: Okay. But the short answer is you won't necessarily start construction right away in 2022, if all goes according to plan with SV8?
Paul Szurek: Not necessarily, but it's also possible that we do.
Jordan Sadler: Okay. And then, on the power exposure, Jeff, that was helpful, a couple pennies exposure. But could you maybe -- I know it's 30% of power uses in deregulated markets. What percent is hedged in your deregulated markets?
Jeff Finnin: Yeah, no, great question. Jordan, I should have included that in there. Our policy generally is to try and hedge about 50% of that power use in those markets, to give us some idea of balance and we used to go out two to three years.
Jordan Sadler: And then what's the policy on passing through power increases? How does that happen mechanically in your contracts?
Jeff Finnin: So, really look at it from two components, one, certain of our customers, about 45% of our portfolio wide revenue is on a metered basis. So those are just pure pass through, irrespective what's happening, right. So those customers just pay those costs. The other 55%, that's more on a breakered model, some of which is in our deregulated, obviously, some of it's in our regulated markets. Generally, we have the ability to pass through those costs to those customers. From a practical perspective, we've looked at it on an annual basis, because you just haven't seen power rates increase that significantly, that quickly, to where we'd have to do it more regular than that. If you start to see power price increases, spike significantly short amount of time, it would probably necessitate us looking at that a little bit more timely than on an annual basis. But generally, we'll look at that late in the year, like as we're talking today, and then put the process in place to address that early so that it's in place for early in the next fiscal year.
Jordan Sadler: Okay. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Colby Synesael with Cowen. Please proceed with your question.
Colby Synesael: Great. Maybe just a follow-up on those last questions. How much have you seen your power costs go up in those deregulated markets, maybe year-to-date, as you had mentioned, I guess for every 10% increase, it would be a $0.02 impact? And then secondly, the stock's down today. I presume it's mostly associated with the leasing number. Really, when you frame it against the 40 million number that you had initially stated in terms of the guidance for this year. I know you've kind of taken that down a little bit, or softened up a little bit. But I think that there was still an expectation that we'd see stronger demand, whether it was in the third quarter or in the fourth quarter, in part based on what you said. And also taking into consideration that I think it's also perceived that Silicon Valley is a strong market. And it shouldn't, and not to be little the ability and how hard it is to get up. I mean, it shouldn't be that hard to get that done, just given what was perceived to be strong demand. Are you being just too picky in terms of the pricing you're looking for? Is there something else there? And I guess to that point, I mean, are you expecting the fourth quarter to be your strongest leasing quarter excluding the $1.7 million deal you just did? Thank you.
Jeff Finnin: Colby, I’ll start and address your first question, then toss it over to Steve. In terms of what we've seen so far in 2021, our rate increases in those deregulated markets, it hasn't been all that significant, I'd say depending on the market somewhere around 3% to 6%. What we are seeing going forward in 2022, obviously, it's a lot of anticipation, and that's where we're continuing to watch closely. You're starting to see future somewhere around 5% to 10%, depending on the market. It remains to be seen if that ultimately materializes, but it is something we're watching. And as I said earlier, we really try to hedge roughly 50% of that exposure two to three years out. But that gives you some perspective of what we're seeing to-date. Steve?
Steve Smith: Yeah, as far as the 40 million is concerned, Colby, we are striving to hit that, as I mentioned earlier. And the pipeline is encouraging, there's some good opportunities for us in there. And I think if you look at our core sales year-to-date, they're strong in our core business. And to your point, what is not there as of yet anyway, is really hyperscale. I mean, that is really the difference in where you've seen some of those elevator results in prior years versus where we are this year, which are really binary and whether or not they happen. To get to your question around fourth quarter, probably can't comment necessarily around fourth quarter results, obviously. But we do have a strong pipeline, we're encouraged with where things are headed. And we're striving every day to hit that 40 million.
Colby Synesael: I mean, presumably, if you're still -- you're not talking down to 40 million, which, unless I'm misunderstanding, you're not, I mean, almost by definition, the fourth quarter should be the strongest quarter relative to the previous three, is that – am I misunderstanding?
Steve Smith: Well, I think the math is right that if we were to meet 40 million that would be the strongest quarter. Whether or not we can get there, as I mentioned, there is a lot of larger deals that can and could happen, but they are binary. And whether or not they do happen and whether or not they meet the parameters, as I mentioned earlier, it's not just chasing top-line bookings that we're after. And maybe you could call it being too picky. But, if you look at the returns on invested capital that Paul talked about earlier, and how we're driving the ecosystem, it's really about striking that balance between top-line bookings, and overall profitability, which includes not just rate, which typically can go down on those hyperscale deals, but also interconnection and power margin, which typically is less on a per square foot, and per kilowatt basis as you get bigger opportunities. So, it's a matter of managing pace with volume, and pricing, and all those kinds of things. And so we're trying to do the best we can do to thread that needle.
Colby Synesael: So one real quick follow-up on that, are those deals that you haven't logged yet, have you seen any of them going to competitors? Or, is it more function of they just haven't signed with anyone yet?
Steve Smith: In some cases, both. A lot of the pipeline, frankly, as I mentioned earlier, is just taking longer. It's a complex world out there, as you look around, there's a lot of impacts on a lot of different industries. And, the complexity around those just takes longer. And we'll see where they play out. I mean, it's a competitive landscape as well. So we've lost opportunities, there's no question about it. If we were winning every opportunity, then I would say we're probably being too aggressive on pricing. But we look to balance that every day and try to make sure that we're driving the most value to our shareholders, given the ultimate outcome.
Colby Synesael: Thank you.
Operator: Thank you. Our next question comes from the line of Brendan Lynch with Barclays. Please proceed with your question.
Brendan Lynch: Great. Thanks for taking my questions. First, just to follow-up on SV7, it looks like you guys had some retail and small scale demand in the third quarter prior to the large scale lease in October. Do you have a preferred mix going forward? I know there is some back and forth on how you're looking to fill that capacity. And in terms of the large scale lease, are you reserving any additional space so that they can expand if they choose to do so?
Paul Szurek: Yeah, I guess as far as overall, SV7 is concerned, we did see some good leases. I think I mentioned, we had $2.9 million of leasing at SV7. So that continues to be good opportunity for us. And as we repurpose the single tenant space to multi-tenant, we've seen good lease up there as well. So as you look at that, and the diversity that it provides, as far as hedging any large churn events, we like the idea of that, and balancing that with, how fast we lease that up. As I mentioned, just talking with Colby, trying to balance the pricing versus the size of the opportunity versus the pipeline, and making sure that we get maximum utilization out of every floor and every datacenter is what it's all about. So, that's just kind of an overall approach, I guess. As it relates to reserving space for customers, in some cases, there's contractual obligations, but very few that we have out there. And typically, it's first come, first serve. And we're looking to maximize the density in every floor.
Brendan Lynch: Great. And just to follow-up, you clearly have some tech advantages and a lot of cloud onramps. I wonder how the value proposition of those cloud, onramps is evolving with customers’ ability to bring the cloud directly into the cabinet or even on-prem with the likes of an AWS, Outpost or a similar product. Just having that availability right in the cabinet, how does that change the value of the onramp itself?
Steve Smith: Awesome question. And I'd love to get more of those, because we feel like that is a great value for why customers would want to deploy in our data center. You mentioned outpost, Outpost is essentially a private cloud managed service that you can put into a data center that can be connected to AWS or other high speed onramps. And how they interoperate together is where you get the real value out of those types of appliances. But having it in a data center that is removed from those native on ramps makes it less rich than it otherwise would be, and the performance is somewhat diminished. So the perfect design around having an Outpost architecture is to have a customer deployment that is also inclusive of an Outpost or VMC on Dell type of environment that is then interconnected with an AWS Direct Connect, or a Microsoft Express Route or maybe both, where they can operate interactively and very low latency to provide just the most seamless and high performance solution available. It's where you start removing those things and separating them via IP networks and other remote type of interconnection, that you start diminishing that performance. So, in order to get the best possible outcome out of those appliances, you really need to be in a data center like ours.
Brendan Lynch: Great. Thanks for the color.
Operator: Thank you. Our next question comes from line of Michael Rollins with Citi. Please proceed with your question.
Michael Rollins: Thanks. First question was, if I think back, you used to provide a chart, and it would share your inventory in each major market, your absorption and extrapolate the years or months of inventory that you had on hand. And I'm just curious if you could provide an update overall, in the portfolio, where you see that relationship? And maybe for some of the major markets, where that relationship is, and where there could be some risks of bottlenecks, or constraints? And then, just separately, I want to go back to a question that you've discussed at a high level before, and that's segmenting retail versus scale performance. And just curious internally, are you just spending more time thinking through what that retail revenue growth rate is versus the scale growth rate? And, the total portfolio grew about 6% year-over-year, what would be the differential in terms of how much better was retail versus slower for scale? Thank you.
Jeff Finnin: Michael, let me start off with your question on the inventory. And then I'll hand it off to Steve around the retail versus scale and come back to your last question. So, when you look at the portfolio today, from an aggregate basis, I think we've got 32 megawatts of capacity that is built and ready for moving. We've got another 10 megawatts that's under construction that those two components one in LA, and one in New York. If you look at our overall gross absorption, I'm going to give you some high level numbers. This isn't -- don't take these as black and white every year. But high level, we lease somewhere around 25 megawatts per year on a gross basis. With churn, net absorption is going to be somewhere around 18 to 21, 18 to 22 megawatts per year. That gives you some idea from a portfolio perspective. When you look at the call it 42 megawatts, where is it today and the relevance to that is obviously it's going to be in our top five markets. So you got about 7 to 8 megawatts in both the Bay Area and in Chicago that we have for lease up today. You've got another 4 or 5 megawatts, some of which is in Los Angeles and then the other market of New York and then Virginia. So call it 4 to 5 megawatts there. And then you've got about 3 megawatts in New York. So you look at the top five markets, that gives you an idea of where that capacity is. And that capacity is important, as Paul alluded to, when he was addressing the question around the Bay Area and overall, what is that annual absorption. And as we keep talking about hitting these high 80 percentile occupancy, that's key from our perspective to ensure you've got the available capacity to meet market needs, and ensuring you don't have too much capacity that we've invested capital, and it's just not earning us a good return and won't be for some period of time. So that's the balance we're trying to strike. But hopefully, that gives you a little bit more color around the inventory.
Steve Smith: I'm sorry, go ahead. Okay, all right. As it relates to retail and scale, I think it's important to look at those as it relates, especially as you move up the size to hyperscale and large scale, because as I mentioned, we typically get better pricing, we get more interconnection per square foot. And, it also gives us more diversity across our base. Collectively, as you look at our performance over time, retail has remained very consistent, and we continue to get more results out of kind of the scale environment. While size is important, and we need to manage that, it's also important to look at the customers that are actually deploying behind that, and looking at really kind of that mid to large enterprise, that it's really kind of rolling out of their legacy data, data centers, refreshing their IT infrastructure, adopting a hybrid multi cloud environment. And those are the customers that we're looking to target and the ones that we're actually winning. So those deployments that can be very large customers that may come in a retail environment, but then grow to a scale or even large scale environment over time, as they complete that migration over time. So, we look at the overall mix, because it does drive profitability in the short-term, but we also look at the growth opportunity long-term, and where that is likely to show up, and that's where we're targeted.
Paul Szurek: And Mike, just to remind you that 70% to 80% of our leasing is this organic growth of these primarily retail and smaller scale customers that continue to grow.
Michael Rollins: If I could just follow-up for one other question, there's a comment that was made, I think it was a couple of times on this call. And there is a connection between the exiting of the single tenant lease in SV7, and visibility into increasing occupancy. Given you knew the inventory was coming up, can you just help frame like, what was important about connecting those two things together, about improving the visibility for future leasing? Or is it just now that they're gone, you're closer to adding tenants walking through? Just kind of curious.
Steve Smith: Yeah, I think well, if nothing else, hopefully provides clarity and visibility for these calls, because I know we've got a lot of discussion around churn and what's churning and is that SV7 churning. So hopefully, that's behind us, which I think is where a lot of those comments came from. We've been working actively to profitably lease up that floor over time. And I think as we sit here today, we're about 20% through that lease up, and a good pipeline that's behind us. So we'll continue to do that.
Paul Szurek: And then let me just, again, I think what you're alluding to is what we said earlier in the call about 5 to 6 megawatts of absorption for us in Santa Clara, Silicon Valley over recent years. The SV7 space is just part of our available leasable capacity, because of the tenant that's now gone, it received a lot of attention. But the 5 to 6 megawatts per year of absorption in ways that strengthen our ecosystem, is probably the right way to look at that market and our capacity in that market.
Michael Rollins: Thanks. Appreciate the help with that. Thank you.
Operator: Thank you. Our next question comes from the line of Nick Del Deo with MoffettNathanson. Please proceed with your question.
Michael Srour: Hi, this is Michael Srour on for Nick. Thank you for taking my question. There's been some optimism regarding the prospects for higher pricing from hyperscale focused vendors, maybe just talking their bucks. Are you seeing anything to suggest that? And if so, might it open up new scale opportunities in Northern Virginia? And, how would you characterize the gap between market and what you're looking for as relates to scale pricing in that market?
Paul Szurek: I think, there's been firming of pricing over the last couple of years. It hasn't declined like it did three four years ago. Maybe it's come up a little bit but not discernibly. And thank you for this question, because, I guess we haven't really made it clear, there's a quite a big leap between the pricing and the ecosystem value and all these incremental revenues that we get from the deployments that we’re focused on, compared to what is available with the undifferentiated hyperscale in these markets. And it's not just about getting the right returns, it's about building the right ecosystems, and frankly, future proofing your ecosystems and your leasing significantly relative to churn and other events. I mean, in our past history, our unpleasant churn related to undifferentiated hyperscale type activities. So, yeah, maybe it takes a couple quarters, or less sometimes, but sometimes around that time to get to the right levels. But meanwhile, you're making up for it with better margins and incremental revenue, and building a much more valuable campus ecosystem for the long-term. Does that make sense?
Michael Srour: Yeah, that definitely makes sense. One follow-up, unrelated if I may. You increased your tenant improvement and recurring CapEx forecasts. Can you talk about the reasons there?
Jeff Finnin: Yeah, Michael, two things on the Tis. A majority of our tenant improvement costs really come from the building out the customer deployments, as we're getting those customers deployed and ready in set up for their gear. So that's just a factor of the volume of infrastructure needed for those customer deployments. Nothing unusual there. To be honest, it's just, some of those take a little bit higher cost up front, depending on complexity and the power needs. As it relates to the recurrent CapEx, really two things going on. As you know, we were building out this chiller plant in Boston earlier this year, some of those dollars ultimately came in the final parts of, it came into Q3. And so some of that's impacting those numbers. And then secondly, we accelerated some recurring CapEx from future periods into the third quarter, as we were looking around trying to take care of a few areas that needed to be addressed. And so that's really what elevated that a little bit this year. As you think about Q4, and more importantly, even 2022, we would expect our recurring CapEx to come back down to those levels that we've seen historically, which over the past 10 to 20-years has been 2% to 4% of revenue. And that's what we expect to see. This year was unusual, just given the investment we made with very good returns on that Boston chiller facility.
Paul Szurek: And the office lease.
Jeff Finnin: And the office build out that we did in the Bay Area.
Michael Srour: Got it. Great. Thank you.
Jeff Finnin: You bet.
Operator: Thank you. Our final question this morning comes from the line of Dave Rodgers with Baird. Please proceed with your question.
Dave Rodgers: Yeah, good morning out there. Thanks for taking the time. Jeff, just a couple of questions for you, I wanted to cover a couple things you said earlier and make sure I didn't miss them. I think you said you had about $235 million of availability. And I think you said something about $40 million of CapEx probably in the fourth quarter and $200 million next year for development and outlays. Is that what you did say, I don't want to put words in your mouth?
Jeff Finnin: No problem. You're right, we've got about $235 million of liquidity. And if you look at the midpoint of the CapEx guidance we gave for this year, it'd be about an incremental $40 million for 2021. And high level, what we gave for 2022 as you think about us, obviously, excluding SV9, a regular year for us building out inside existing core and shell is around $200 million.
Dave Rodgers: So, I guess I just wanted to follow that thought up with the idea that you're going to kind of tap into the remaining availability, as you look out over the next, say, 15-months or so. At your currently thing pace, you're probably adding another $80 million of availability. I guess the question there is with a $300 million development, like SV9 sitting out there, using up most of the remaining availability and getting really thin on what's left, what is your view on how thin on availability you're willing to go, and leverage specifically? And when you look to kind of raise some equity, either through asset sales, joint venture or straight up equity to kind of provide some cushion ahead of SV9?
Jeff Finnin: Yeah. Well, I think, high level from a leverage perspective, Dave, we're comfortable in those low ranges. Those ranges we've been talking about this year where we expect to be somewhere between 5.2 and 5.4 by the end of the year. If you think about us 5.5 times leverage, I think we're comfortable taking it to that level. So that gives you some perspective from a leverage. From a liquidity perspective, I will tell you that anytime we embark on a development, we want to make sure we've got complete liquidity to ensure that that development is built out in its entirety. And so, we're not going to embark on a development until we've got that liquidity to see it fully through. So, as a result of that, we were anticipating needing some additional liquidity before we go vertical on SV9, and that's something we're thinking about and looking at options to ensure we solve for that prior to the time that that'll be needed.
Dave Rodgers: Okay. Thanks, Jeff.
Jeff Finnin: You bet.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Szurek for any final comments.
Paul Szurek: Thank you. Excellent questions, as usual. Before we wrap up, I'd like to thank all my CoreSite colleagues. I've mentioned earlier in the call that they've been working very hard the last few years to build a better mousetrap. Our cloud and network and enterprise dense ecosystems are more valuable and sticky and magnetic than ever. And that is the result of tremendous effort all across the company, from operations to technology to network engineering to sales, and to construction to keep up with and provide the capacity to do so. So, I'd like to thank all my colleagues, and thank all of you for your interest. And we look forward to future discussions.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.